Operator: Good morning, and welcome to Beasley Broadcast Group's Second Quarter 2025 Earnings Call. Before proceeding, I would like to emphasize that today's conference call and webcast will contain forward-looking statements about our future performance and results of operations that involve risks and uncertainties described in the Risk Factors section of our most recent annual report on Form 10-K as supplemented by our quarterly report on Form 10-Q. Today's webcast will also contain a discussion of certain non-GAAP financial measures within the meaning of Item 10 of Regulation S-K. A reconciliation of these non-GAAP measures with their most directly comparable financial measures calculated and presented in accordance with GAAP can be found in this morning's news announcement and on the company's website. I would also remind listeners that following its completion, a replay of today's call can be accessed for 5 days on the company's website, www.bbgi.com. You can also find a copy of today's press release on the Investors or Press Room sections of the site. At this time, I would like to turn the conference over to your host, Beasley Broadcast Group's CEO, Caroline Beasley.
Barbara Caroline Beasley: Thank you, and good morning, everyone. We appreciate you joining us to review our second quarter results. Q2 was a challenging but important quarter for Beasley, yielding mixed results. On a positive note, I am pleased to announce that we signed this week an agreement to sell WBCN-AM, WJPT-FM and WWCN-FM in Fort Myers to a third party for $9 million. In addition, we entered into a purchase agreement to sell WRXK-FM and WXKB-FM in Fort Myers to a separate third party for $9 million. As a result of the sales, which are subject to FCC approval, the company will no longer have operations in the Fort Myers Naples market. In June, we announced the sale of WPBB-FM in Tampa, Florida for $8 million. So to summarize, we will be selling these assets for a combined $26 million in gross proceeds. As stated in previous quarters, we remain open to additional opportunities where the strategic rationale is compelling, and the financial impact supports our broader objective. While our digital business continues to gain meaningful traction with strong revenue growth and expanding margins, our core audio segment significantly underperformed, contributing to a larger-than-expected revenue shortfall. These results highlight both the progress we're making in reshaping the business and the urgency of the transformation still underway. We're operating with our eyes wide open. This quarter underscores the importance of accelerating our progress on the priorities we laid out earlier this year. Number one, advancing our digital road map; number two, reducing structural costs; and then number three, taking tangible steps to improve our capital position. It also reinforced the need to drive accountability across our sales force. In Q2, digital revenue grew by 1.3% or 8.1% on a same- station basis and accounted for 25% of our total revenue. This is an important milestone and one that we've been working towards deliberately. But this growth isn't just about top line. It's about quality of earnings and operating leverage. Our digital business continues to scale profitably with our digital segment operating margin improving 900 basis points quarter-over- quarter from 17.8% to 26.8%. This margin expansion is the result of targeted product development, disciplined sales alignment and increasingly efficient infrastructure. Two key strategic drivers are fueling this margin improvement. First, we saw a meaningful shift in our digital inventory mix from 49% O&O in Q1 to 55% in Q2. This increases profit margin and gives us far greater control over the end-to-end monetization cycle. Then number two, we continue to deliver on programmatic growth, driven by enhancements to our back-end tech stack that improved inventory access, targeting precision and campaign optimization. We further refined our ad delivery infrastructure to maximize impressions across content channels and implemented ongoing improvements to our programmatic waterfall, enabling more efficient yield management and higher CPM realization across key demand sources. These improvements are compounding. We're not just driving higher-margin revenue. We're building a scalable data-driven digital platform with durable earnings power. Our teams across engineering, product and content have executed with focus and the impact is visible in both our financial results and client feedback. At the same time, we recognize the challenges facing our broader revenue performance. While digital continues to scale, overall net revenue was down 11% on a same-station basis, a performance we take full ownership of. This is not simply a macroeconomic issue. It reflects a deeper challenge in sales execution. For too long, our business has been overly dependent on agency-driven revenue at both the national and local levels. In 2025, both channels have experienced significant and sustained pullback. The impact has been especially pronounced with our largest brands, which have historically attracted a greater share of agency spend. Our sales organization has not yet fully evolved to offset these losses through direct digitally led selling, an area where we are now making deliberate changes. We recognize this reality, and we're not approaching that with short-term solutions. The pivot away from legacy selling models and toward a digitally native local-first approach is a foundational shift and one that will take time to fully implement and scale. Our focus is on building a high-performing team that can lead with data, convert traditional agency clients into digital first buyers and unlock the long-tail SMB market through scalable, repeatable processes. To support this pivot, we are training AE to lead with full funnel marketing strategy, bundling on-air endorsements with trackable digital solutions. Our ability to offer integrated radio and digital campaigns has already demonstrated measurable success as these campaigns have shown 30% plus higher purchase intent versus radio or digital alone. This is a long-term investment and capability, not a quick fix. We don't expect the full impact to materialize next quarter, but we are executing against it with urgency, clarity and conviction. The sales team we're building reflects where Beasley is headed, platform- driven, insight-led and positioned for growth across O&O and programmatic inventory. On the expense side, we continue to manage with discipline. In the first half of the year, we implemented approximately $10 million in annualized expense reductions, bringing the total to roughly $30 million over the past 12 months. These actions span every part of the company. At the corporate level, we streamlined G&A expenses, optimized vendor contracts and restructured support functions. At the market level, we've realigned resources to focus on high-performing stations and product categories while eliminating redundancies. And in digital, we've retooled infrastructure to improve automation, reduce overhead and shift investment toward growth products. Our aim is not just to cut costs, it's to rebalance the organization for long-term sustainability and value creation. With that, I'll turn it over to Lauren to walk through the financial results in more detail, including agency trends and expense reductions. Lauren?
Lauren Burrows Coleman: Thanks, Caroline, and good morning, everyone. Let me begin by directly addressing the primary driver of our second quarter performance, continued weakness in our agency business. Macroeconomic volatility was not the defining challenge this quarter. It was the continued structural decline across national and local agency channels. These channels, which historically represented a sizable portion of our overall business, have proven increasingly fragile in the current traditional media environment. In Q2, agency-related revenue declines were deep and widespread. National Agency revenue was down 12.1% year-over-year, reflecting ongoing budget compression, delayed decision-making and reduced upfront commitments from larger advertisers. Local agency performance deteriorated even further, down 24.7% year-over-year, with most of our markets seeing high double-digit declines. This is not just cyclical, it is structural. Agency business models are evolving. And with that, the mechanics of media buying are shifting. Increasingly, agencies are incorporating large language models and AI-driven recommendation engines into their planning workflows. These systems prioritize media channels based on digital attribution data, real-time performance metrics and optimization algorithms, areas where traditional audio often lack direct parity. As a result, radio is being systematically deprioritized in media mixes, not necessarily due to performance, but because it is underrepresented in the digital data sets and signals that power these tools. This trend has accelerated the shift away from legacy audio buys and has further widened the gap between traditional planning cycles and where advertising dollars are flowing. Without deliberate human override or advocacy, traditional formats like radio are often omitted altogether. While this presents a near- term headwind, it also reinforces the urgency behind our digital transformation and the importance of positioning our owned and operated assets, targeting capabilities and measurement tools to compete in a technology-first buying environment. The impact on our total revenue was material. While we continue to see growth in digital and stability in local direct, these gains were not sufficient to fully offset the contraction in agency. As a result, as Caroline previously mentioned, total net revenue for the quarter declined by 11.1% year-over-year on a same-station basis. That said, the data also reinforces where our strengths lie. Local direct revenue was up 1.7% year-over-year and now represents the majority of our local sales mix. Digital growth continues to accelerate at 8.1% year-over-year on a same-station basis and 22.5% quarter-over-quarter, as Caroline mentioned earlier, with strong contribution from owned and operated channels and programmatic monetization. This further validates the strategic pivot we are making to reorient the business around scalable, higher-margin revenue streams. We are acting with urgency to address the core issues. As Caroline mentioned, we've begun a broad transformation of our sales organization, starting with recruiting and process realignment. While that transition will take time, we are confident it is the right path forward and early signs of traction in digital and direct reinforce that confidence. Turning to expenses. Our cost discipline remains a defining strength. Q2 total operating expenses were down $4.6 million or 9.3% year-over-year, driven by the impact of previously announced restructuring actions and incremental cost containment across corporate, market and digital operations. These cost actions were not reactive, they were strategic. They allowed us to preserve margin amid revenue compression while continuing to reinvest in our highest conviction growth priorities. Station operating income for the quarter was $8.2 million, reflecting an SOI margin of 15.6%. Adjusted for stock-based compensation and nonrecurring severance expenses, our SOI would have been $8.4 million, reflecting a margin of 15.8%. Corporate expenses for the quarter totaled $3.8 million, a 2.8% year-over-year decline. It is worth noting that our Q2 2024 results included a onetime $225,000 vendor credit that partially offset expenses in that period. Excluding that credit, the year-over-year improvement in corporate spend reflects continued discipline in managing overhead, optimizing vendor relationships and streamlining centralized functions to support a leaner, more efficient operating structure. Adjusted EBITDA was $4.7 million after adding back $226,000 in severance and stock-based compensation. We continue to manage margin and liquidity tightly, and we believe the work done over the last year has created a more resilient operating base. From a liquidity standpoint, we ended Q2 with $13.7 million in cash on hand and continue to manage capital expenditures, which were $600,000 in the second quarter. In summary, while top line performance remains under pressure due to continued agency softness, our strategic direction is clear. We're simplifying the business, reallocating resources towards digital and direct and executing with discipline across both operations and the balance sheet. With that, I'll turn it back to Caroline.
Barbara Caroline Beasley: Thank you, Lauren. While Q2 marked another step in the maturity of our digital platform, looking ahead, the most exciting part of this evolution is still to come. We are preparing to launch Display Plus later this quarter, our newest proprietary digital product, which will pair with Audio Plus to give advertisers full-funnel solutions and advanced attribution across our digital footprint. Together with our new video platform now live in select markets and our expanded market newsletters, these tools form the foundation of a comprehensive multi-platform advertising ecosystem that's built for performance and scale. By the end of the year, we will be launching our self-serve advertising platform, a major milestone in our digital transformation. This tool will enable small and midsized businesses to plan, purchase and manage their campaigns entirely online, using AI-powered features that simplify everything from proposal generation to creative development and reporting. It's a turnkey solution designed for the long tail and one that will reduce our dependence on traditional sales channels while unlocking new scalable revenue streams. Each of these investments is purpose-driven to improve client outcomes, increase monetization per impression and drive higher margins across our digital business. Now looking ahead to third quarter, we are seeing continued softness across national and local agency channels, which account for roughly 45% of our total revenue. And as of today, total revenue is pacing down high single digits, and that's excluding political. When you include political, we're looking at similar pacing as what we ended second quarter with. The decline continues to be driven by softness in both local and national agency business, which are currently pacing down 15% and 20%, respectively. On the positive side, the business that we have control over, local direct and digital are pacing up approximately 3% and 18%, respectively. In Q3, we expect digital will account for between 25% and 30% of our total revenue mix for the first time. Now turning to Ratings. Our brands continue to solidify their premium status in the radio industry, delivering impressive growth across key metrics in the second quarter. According to Nielsen, our PPM market station ratings rose by 14% year-over-year and AQH among the critical adult 25-54 demo. Notably, 4 of our PPM stations in Boston, Charlotte, Detroit and Philly ranked #1 in their respective markets within that same demo. Our total cume, which includes traditional over-the-air, streaming and podcast is up 7% year-over-year, reflecting our continued ability to attract and engage listeners across platforms. In addition, thanks to our focused efforts on social engagement, our social media audience has grown over 8% compared to last year. And as we move into the second half of the year, we remain focused on our priorities. Number one, executing on our digital strategy, which is focused on scaling proprietary inventory, enhancing monetization efficiency and building a platform capable of delivering durable margin growth. Number two, strengthening our sales organization and building a digitally fluent local-first revenue engine. Number three, continuing to streamline our operations for agility and efficiency. And number four, sharpening our capital structure through disciplined deleveraging, focused asset rationalization and a clear commitment to long-term financial resilience. On the capital structure front, we took action this quarter. In May, we repurchased $1.5 million of our stub notes, reducing the remaining balance to $2.8 million. And as I mentioned at the beginning of the call, we've entered into an agreement to sell WPBB and Tampa for $8 million and our Fort Myers cluster for a total of $18 million. This combined total is $26 million, and we plan to use the net proceeds to reduce debt and therefore, strengthen our capital structure. We've been clear about our priorities, and we've taken action from meaningful cost reductions to portfolio optimization and targeted debt repayment. We are delivering on the road map we laid out. That consistency matters. It builds trust with our partners, confidence with our investors and clarity with our lenders, and we're committed to sustaining that discipline in the quarters ahead. So thank you very much and Lana, I think we have some questions that were submitted today.
Operator: Yes. We will now take the questions that were submitted ahead of today's call. One, can you update us on where the cost savings plan stand? How much has hit the numbers and how much more will benefit 2025? Given the current revenue challenges, do you expect to do more cuts in 2026?
Lauren Burrows Coleman: So first, thanks for the question. As Caroline noted, since the second quarter of last year, we have taken cost actions that will take out approximately $30 million in annualized total costs. As you think about 2025, we reported approximately $219 million in operating and corporate expenses in 2024. I would expect our 2025 expenses to land kind of $20 million to below $20 million less for the full year of 2025, and that sort of includes the sort of annualized portion of the cost cuts that we did in 2024 as well as the cost cuts that we've done year-to-date. So as we look ahead to 2026, I think we're continuing to make proactive and prudent calls about our cost structure. And in particular, we're focused on as we renew key vendor contracts for next year, sort of being prudent in how we do that and sort of rationalizing what services we really require. So I think you'll continue to see that the cost structure be further optimized as we head forward here.
Operator: How are CPMs trending? Are peers being competitive on pricing given the challenged environment?
Barbara Caroline Beasley: So we're going to break this out. Digital CPMs are holding in the current environment, and we see this with the competition as well. Our effective CPMs on digital continue to increase as we are selling more direct O&O. Then as far as traditional over-the-air CPMs, we are seeing those trending down primarily due to the fact that agency business is trending down double digits. So pricing remains competitive in our market.
Operator: And the last question, do you see the opportunity for more asset sales?
Barbara Caroline Beasley: So as we have consistently stated and as we demonstrated today, we're always open to asset sales or swaps if it makes sense for the company. So is that it? That's all of our questions. All right. Thank you very much. Should you have any follow-up questions, please feel free to reach out to Lauren or myself, and we appreciate your time today. Thank you.